Operator: Welcome to the Air Products and Chemicals Second Quarter Earnings Release Conference Call. [Operator Instructions]. Beginning today's call is Mr. Simon Moore, Director of Investor Relations.
Simon Moore: Thank you, Orlando. Good morning, everyone and welcome to Air Products' second quarter 2015 earnings results teleconference. This is Simon Moore, Director of Investor Relations. I'm pleased to be joined today by Seifi Ghasemi, our Chairman, President and CEO; Scott Crocco, our CFO; and our senior business leaders. After our comments, we will be pleased to take your questions. Please limit yourself to one question and a follow-up. Our earnings release and the slides for this call are available on our website at airproducts.com. Please refer to the forward-looking statement disclosure on page 2 of the slides and at the end of today's earnings release. Now, I am pleased to turn the call over to Seifi.
Seifi Ghasemi: Thank you, Simon and good morning to everyone. Thank you for taking time from your busy schedule to be on our call today. We do appreciate your interest in our company. First, let me introduce our team who are on the call today. In addition to Simon, I have Mr. Scott Crocco, our Senior Vice President and Chief Financial Officer; Mr. Corning Painter, Air Products' Executive Vice President responsible for Industrial Gases; and Mr. Guillermo Novo, Air Products' Executive Vice President in charge of Materials Technologies. All of us will be participating in the call and in answering your questions. I'm very pleased to report that Air Products delivered strong results in the second quarter of our fiscal year 2015. Despite significant currency headwinds and weaker economic growth in most of the geographies that we operate in, we delivered good improvement in our safety performance, our EBITDA margins are up 440 basis points versus last year and our earnings per share improved by 17%. This is a significant improvement versus last year and is a clear demonstration of the effectiveness of the strategic actions we have taken in the last 10 months. Our new organization is in place, it is functioning well and delivering results. So before I go any further, I want to thank all of the talented, dedicated and committed employees of Air Products for doing such a great job. What we are presenting to you today is the result of our 20,000 employees coming to work every day committed to serve our customers and improve every aspect of our performance. Our people are the force behind our progress. I certainly consider it an honor and a privilege to be part of this winning team. Now please turn to slide number three, our safety performance. Year-to-date, we improved our lost time injury rate by 28% and our recordable injury rate by 30%. As Scott said during the investor conference, excellence in safety requires focus, discipline, process orientation and execution. These same characteristics are required for excellence in business performance too. The improvement in our safety results which is our number one priority, is encouraging, but we need to move forward to achieve our goal of zero incidents and zero accidents. Now please turn to slide number 4. I would like to continue to remind everybody that our goal is and will continue to be a constant and persistent effort to become the safest and most profitable industrial gas company in the world, providing excellent service to our customers. Now please turn to slide number 5. You have heard us many times that our goal is to create value for our shareholders. To do that, we are focused on two key elements. One, responsible allocation of capital. Air Products generates a significant amount of cash. We, the management of the company, fully understand that the proper and responsible allocation of that capital is a clear element of value creation. The second key point is that it is not enough to have a strategy. You have to be able to execute it. Strategy without execution is worthless. So we are fully committed to actually execute our five-point strategic plan. Before I comment on our strategic plan, please go to slide number 6 which, in simple words, explains our overall management philosophy. We have shown this slide to you before, but it is important to emphasize the key points that cash is king, EPS doesn't determine the long-term value of the company, it is the share price and the importance of capital allocation in addition to reorganization. Now please go to slide number 7. This in summary is our strategic plan. We have made several presentations explaining the details and our executives have spent a full day at our Investor Conference on March 31 describing how we are implementing this plan. I have this slide as a reference for you. All of the presentations that we have made at our Investor Day are posted on our website for your reference and I highly encourage you to take a look at them if you have not already done so. Now please turn to slide number 8. On Monday, April 20, we announced that Air Products has had the honor and privilege of being awarded a contract to build, own and operate with our partners, ACWA, the world's largest industrial gas complex, to supply about 75,000 tons per day of industrial gases to Saudi Aramco's refinery in Jazan, Saudi Arabia. This is by far the largest contract we have ever won in our company's 75-year history. We did have a conference call to explain this project and the details of that conference call are again on our website. We've included the highlights here for your reference and we will be happy to answer any questions about it later on. The key point that I would like to make is that the award of this project demonstrates that Air Products has the technology, people and the self-confidence to compete for the world's largest industrial gas projects. It also demonstrates that in addition to our focus on improving our day-to-day performance, we are committed to participate and win the right growth opportunities in the energy sector, environmental sector and the emerging markets. Now please turn to slide number 9, a summary of our quarterly results. Scott will go into the details of these numbers, but I would like to draw your attention to the significant improvement in our margins, 440 basis points, a key goal for us to become the most profitable industrial gas company in the world. In addition, despite the significant headwinds from currency of $0.09 per share, we improved our EPS by 17% versus last year and had positive free cash flow. In particular, the Materials Technologies team, operating more and more as an independent business under Guillermo's leadership, delivered great results driven by the strong market position and focused cost and productivity efforts. We continue to be optimistic about the future of Materials Technologies. Now please turn to slide number 10 where you can see our steady progress toward improving our EBITDA margin. We do appreciate that we still have a long ways to go to meet our stated goal of being the most profitable industrial gas company in the world, but the key fact is that we have started on our journey and we are making progress. Air Products is moving forward with the full force and support of our people. I am very proud of our entire team and optimistic and excited about our future. Now I would like to turn the call over to Mr. Scott Crocco, our Senior Vice President and Chief Financial Officer, to go through the details and then I will come back after comments from Corning, Guillermo and Simon to make some closing remarks and then we will answer your questions. Scott.
Scott Crocco: Thank you very much, Seifi. Now please turn to slide 11 for a more detailed review of our Q2 results. Sales of $2.4 billion decreased 6% as strong underlying growth of 5% was offset by an unfavorable currency impact of 5% and a lower energy pass-through impact of 6%. Volumes increased 4% primarily from strength in two areas. In Gases Asia, volume growth was driven primarily by new plants in China. And Materials Technologies again saw solid growth across all businesses. Pricing was 1% higher driven by price increases in Gases Americas, Gases Europe and Materials Technologies. We delivered operating leverage again this quarter as EBITDA improved 10% and operating income improved by 15% despite the lower sales. Versus prior year, EBITDA margin improved 440 basis points to 29.4% while our operating margin improved 340 basis points to 18.3%. This is the highest quarterly operating margin in over 25 years. Sequentially, our margins improved primarily due to Materials Technologies and higher sales in our equipment businesses. Versus prior year, net income increased 19% and earnings per share grew by 17% and we continue to improve our return on capital employed which increased by 80 basis points versus prior year to 10.5%. Please turn to slide 12. My presentation at our Investor Conference last month focused almost entirely on cash flow. We do not want to borrow money to pay dividends. This is consistent with the way we are focusing on running the business. As you can see, in our second quarter of 2015, distributable cash flow was up 14% and free cash flow was up $63 million as we generated higher EBITDA and spent less on maintenance capital. We are focused on optimizing maintenance capital, spending the right amount at the right time and properly supporting the base business. These improvements were more than offset by an increase in cash taxes and dividends. From a timing perspective, it is not unusual for items to move around quarter to quarter, particularly maintenance capital and cash taxes. For the remainder of fiscal 2015, we expect to continue delivering higher EBITDA due to our cost-reduction efforts and our capital expenditures should decline in the second half of the year due to project timing. We continue to work towards being free cash flow positive for fiscal year 2015. Turning to slide 13, you can see an overview of this quarter's performance in terms of earnings per share. Before I comment on our Q2 operating performance, I would like to spend a moment reviewing two non-GAAP items, both resulting from our organizational restructuring actions. First, our restructuring charges totaling $55 million pretax or $0.18 per share. Second, we recorded a pension settlement charge of $13 million pretax or $0.04 per share. As I have mentioned on prior calls, we expect to see restructuring costs and pension settlement costs during FY 2015 as we continue to simplify the organization and reduce costs. Excluding these items, our Q2 continuing operations EPS of $1.55 increased $0.23 or 17% versus last year. Higher volumes increased EPS by $0.22. Pricing, energy and raw material taken together contributed $0.10. Net cost performance was $0.02 unfavorable as the benefits of our cost-reduction actions were offset by higher incentive compensation costs of about $0.15 and an unfavorable impact from other income and expense of $0.04. We have higher incentive compensation costs this year due to better expected performance versus lower incentive compensation costs last year due to worse performance. Furthermore, in Q2, we adjusted our incentive compensation for the first half of the year, so this impact this quarter reflects both Q1 and Q2. Our incentive compensation program is very well-aligned with the performance of each business unit and it encourages action and it rewards for delivering results. Unfavorable currency translation was $0.09 as almost all currencies weakened against the dollar. As a reminder, our currency exposure is primarily translational as the vast majority of our products are made and sold in the same currency. Equity affiliate income was a penny higher. Interest expense was $0.03 lower due to higher capitalized interest and lower rates. Our tax rate of 24% remained unchanged versus prior year. And finally, higher shares outstanding reduced earnings per share by $0.02. Now to begin the review of our business segment results, I'll turn the call over to Corning.
Corning Painter: Thanks, Scott. As you heard us share at our Investor Conference last month, the industrial gas team around the world is implementing our 5 Point Plan to drive business improvement. You heard about what focus on the core means for Industrial Gases. It means building density and integrated positions on a local basis. We shared what the new organization enables. Not just how we are organized, but how the new organization enables better and faster decisions close to the action. You heard examples from around the world of changes in behavior and decision-making driven by implementing our new culture of Safety, Simplicity, Speed and Self-confidence. You heard a number of examples of local empowered teams making changes in the way we operate plants, manage assets, deliver products, source key materials and services all to deliver improved business results. And finally, you heard how locally aligned rewards where people can see how their actions impact their pay motivates our people and reinforces teamwork. As Scott mentioned, in most areas, we have accrued for higher bonus payouts this year compared to last year. This is great news as it shows the alignment of employer rewards and shareholder value. You can see the impact of these changes in our safety and business results. I would like to thank our people who continue to stay focused and are delivering. Now, turning to a common question, the price of oil stayed in the $45 to $55 per barrel range during the quarter, about half the price as a year ago. As a reminder, we have very little direct exposure to Oil Exploration & Production, probably $30 million to $40 million a year of sales, but we have begun to see a few modest impacts -- some reduction in our liquid nitrogen volumes to the oilfield services market and some impact on our business to the offshore market. And we have seen a few customers delaying project decisions; although it is always difficult to know exactly why. But very importantly, we have not seen any drop in the underlying hydrogen demand in the Americas as our refinery customers continue to run hard. Finally, as I'm sure you saw, we announced last week that Marie Ffolkes will be joining Air Products next month as the new President, Industrial Gases America. We are excited to welcome Marie to this position. She brings a strong track record of leadership and proven results. With that, please turn to slide 14 for a review of our Gases Americas results. We delivered strong results this quarter as modest underlying sales growth with significant cost improvements translated into very strong margin growth versus a weak Q2 last year. Sales of $890 million were down 14% versus last year as the pass-through of lower energy prices reduced sales by 13%. The price of natural gas in the Houston Ship Channel was down almost 40% to about $3 per million BTU. Currency, primarily the Chilean peso, Brazilian real and the Canadian dollar reduced our sales by 3%. Underlying sales were up 2% on higher volumes and prices. Volumes were up 1% with liquid oxygen, nitrogen and argon volumes -- up in North America; although demand was not what we expected in March. As I said, hydrogen volumes remained strong and were up versus last year on fewer customer-scheduled maintenance outages. Helium volumes were down across the region. Sequentially, volumes were down on Latin American seasonality and lower hydrogen volumes in North America driven by customer outages. We see this as normal fluctuations in our pipeline hydrogen volumes and don't see any signs of an overall demand decline. Our refinery customers continue to operate at high levels. Pricing was up 1% versus last year as we continue to see the positive benefit of our pricing actions. Our actions were partially mitigated by contract formula reductions for some of our liquid customers as the price of power and diesel fuel has come down. Of course, we are also seeing lower power and diesel costs. Recall that last year we incurred much higher power costs as rates spiked during the extremely cold weather in North America. Latin American pricing was strong reflecting the inflationary environment. As you would expect, we have profit headwinds from currency and lower energy pass-through, as well as higher incentive compensation. The team was able to more than overcome these headwinds and deliver 7% EBITDA and 7% operating income growth on the benefits of our restructuring actions, lower maintenance costs, volume leverage and positive price. Operating margin of 20.4% was up 400 basis points with about a third coming from lower energy pass-through, another third from volume and price and the rest from lower costs. EBITDA margin of 33.7% was up 640 basis points. Sequentially, profits were down on currency, lower volumes, lower natural gas prices and higher incentive compensation, partially offset by our restructuring actions. And while we are very focused on driving cost improvements, we were pleased to announce this week that we were awarded a new project by Big River Steel to support their hot rolled steel plant in Mississippi County, Arkansas. Consistent with our strategy, our new integrated gases facility will drive density in the local area. Now, please turn to slide 15. For the Europe, Middle East and Africa region, underlying sales and margins were essentially flat. In these market conditions, we continue to focus on cost and pricing action. Versus last year, sales of $449 million were negatively impacted by 15% from currency, primarily the euro, British pound and Polish zloty. Energy pass-through also reduced sales by 2%. Volumes were down 1% as packaged gas and liquid bulk volumes were essentially flat while on-site volumes were down slightly on customer and planned outages. We are pleased that pricing improved by 1% in this weak economic environment. Primarily driven by currency translation, operating income was down significantly, highlighting the need to continue to drive efficiency in Europe. We have taken actions enabled by our new organization and expect these to begin to show in the P&L through the rest of the year, but there is no question that the trading conditions in Europe continue to be challenging. Please turn to slide 16. Gases Asia delivered another strong quarter with the combination of significant volume growth and cost focus driving margin improvement. Underlying sales were up 12% with the reported sales up 7% to $393 million due to lower energy pass-through and currency. Volumes were up 15% driven by new projects. As Wilbur said at the Investor Conference, our large oxygen projects in China are starting up. Customers are operating their gasifiers; they are taking oxygen and we are getting paid. Overall merchant volumes were up mid-single digits in Asia. Our China liquid oxygen and nitrogen business was flat as we increased retail business while reducing wholesale volumes. We still see end-market demand growth in China, but certainly at a slower rate than a few years ago. Sequentially, volumes were up 1% despite the Lunar New Year holiday. Pricing was down 3% as continued overcapacity in China pressures liquid oxygen, nitrogen and argon pricing. I am happy to say that with Zhengyuan, onstream now in April, we have no further merchant China capacity in our backlog. EBITDA of $144 million was up 14% and the EBITDA margin of 36.7% was up 200 basis points versus last year primarily driven by the new plants and lower costs overcoming the negative price and currency impacts. Sequentially, profits were down primarily due to currency, price and higher incentive compensation, partially mitigated by the benefits of our restructuring actions. In terms of new business in Asia, we expect to announce a new project award from a large customer this quarter. I will close with a few words on the Global Gases segment. You'll recall that this segment includes most of our air separation unit sale of equipment business, as well as costs associated with the industrial gas business which are not region-specific. Our sales were roughly flat with last year as ongoing project activity was about flat and currency was negative. We had a positive impact from a contract wrap-up this quarter which we don't expect to reoccur. Our nonbusiness costs were flat versus last year as the benefit of our cost-reduction actions was offset by higher development spending. Now I will turn the call over to Guillermo for a review of our Materials Technologies segment results.
Guillermo Novo: Thank you, Corning. Please turn to slide 17. The Materials Technologies team delivered another very strong quarter with double-digit underlying sales growth, mix improvement, productivity and our cost focus driving margins to the highest level in the 2.5 years we have reported this segment. As I shared with you at the Investor Conference, we have a very strong portfolio of businesses with leading market positions. Our people are excited about our focus on Materials Technologies and are delivering both safety and business results. Segment sales of $533 million were up 7% versus prior year. Underlying sales were up 11% on 9% volume growth and 2% positive pricing and mix. Electronic sales were up 16% on positive volume and price with strong performance from all businesses. Process Materials volumes were up on continued high memory demand. As I mentioned to you last quarter, given the tighter supply-demand dynamics, we are working hard to sign a number of multiyear supply agreements with our customers. This is a significant development for our Process Materials business and should improve stability of volumes and earnings in the future. At the same time, we delivered positive price this quarter. Advanced Materials continues to deliver volume growth from customers operating their newest and most advanced production lines at high rates. We saw good performance from Delivery Systems; although, as I said before, we expect this to begin to decline later in the year. Sequential volumes were down on lower Lunar New Year activity, but price and mix were still positive. Performance materials saw more of the segment currency impact as underlying sales were up 4%. Volumes were up mid-single digits on good end-market demand in all three businesses. Price and mix was slightly negative, but with lower raw material costs and greater productivity, our margins still improved. As you heard at the Investor Conference, innovation is critical to our success in Materials Technologies. We continue to see strong results across the Advanced Materials portfolio in electronics and our non-emissive catalysts in our polyurethane business. Great examples of innovation driving business results, we are also very pleased with the progress of our innovation initiatives in the rest of our portfolio. EBITDA of $148 million was up 27% and EBITDA margins of 27.8% were up 440 basis points versus last year. Both EBITDA and operating margins are at the highest levels in the 2.5 years we have reported this segment. These strong results are despite headwinds from currency and higher incentive compensation versus last year. We delivered leverage on volume growth, positive price, cost margin, productivity and are beginning to see the results of our cost restructuring actions, great results from the team. We are now focused on our key priorities -- safety, quality top-line growth, margin enhancement and advancing our strategic initiatives. All of this to drive further our business improvement. Now I'll turn the call back over to Simon.
Simon Moore: Thanks, Guillermo. I'll just comment quickly on our corporate segment that consists of our LNG and helium container businesses, as well as corporate costs which are not business-specific. Sales were up this quarter as higher LNG project activity more than offset lower helium container sales. We have seen no change to the LNG projects we are executing in our backlog. We have seen some signs of a slowdown in customer decision-making on new projects. The improved profitability was driven by the higher LNG activity. Corporate costs were flat with a reduction from our cost-saving actions offset by higher incentive compensation. Now I will turn the call back over to Seifi.
Seifi Ghasemi: Thank you again, Simon. Now please turn to slide number 18 for a discussion of our outlook. At this time, based on what we know today, our guidance for the next quarter is $1.55 to $1.60 per share. At midpoint, this will be an increase of 8% over previous year. As for all of fiscal year 2015, we are maintaining our guidance of $6.35 to $6.55 per share. At midpoint, this represents a 12% increase over 2014 results despite the fact that we expect almost $0.40 per share negative headwind from currency translation. As I said last quarter, we are not going to use currency headwinds as an excuse to lower our guidance this year. We take very seriously what we have promised investors at the beginning of the year and consider it to be our job to take actions to deliver the numbers we promised rather than reducing our guidance each quarter because of currency fluctuations or economic conditions. We also understand that our guidance implies a strong fourth quarter. But again, we expect that the accelerating benefits of our restructuring will give us the ability to deliver on this forecast. As for capital expenditure in 2015, we now expect for it to be around $1.7 billion which is at the lower end of our previous guidance. This is due to the impact of currency and also our increased focus on all capital expenditures. We continue to enjoy a robust backlog with a high level of secure on-site pipeline projects. The backlog of $3.2 billion remains unchanged from last quarter and you can see a list of our major projects in the appendix slides. Please note that we have not included the significant project that we just won, the Jazan project, in this backlog. In closing, I would like to say that we are totally focused on actions that we can control to deliver on the commitments that we are making here. We are executing on our improvement actions and our team is working together to achieve our goals. Once again, I would like to take a minute and thank all of the Air Products people for the outstanding job that they are doing. At the end of the day, our performance is the result of their hard work. I'm incredibly proud of the 20,000 talented, committed and motivated employees at Air Products and I certainly consider it an honor and a privilege, as I said before, to be part of this winning team. We are working hard to move Air Products forward and create value for our shareholders. Now with that, we are more than happy to answer your questions.
Operator: [Operator Instructions]. We will take our first question from Vincent Andrews with Morgan Stanley.
Matt Andrejkovics: Actually this is Matt Andrejkovics calling in for Vincent. Thanks for taking the call. The decline in the CapEx forecast, can you just elaborate on some of the delays that you are seeing?
Seifi Ghasemi: There is no delays in our CapEx forecast. The CapEx forecast is because of two reasons. Number one, we are focused on doing the right projects and the second thing is that some of the projects that we are doing are coming in under the estimate that we had before. And obviously the effect of currency. There is no delay on any projects.
Matt Andrejkovics: And then can you just comment a little bit on the volume increases in Materials Technologies and also is it possible to parse out the difference in margin improvements that you're seeing from productivity as opposed to operating leverage?
Seifi Ghasemi: I would like to turn that over to Guillermo to answer for you.
Guillermo Novo: In terms of the volume growth, we have seen -- all the segments actually saw good volume growth. In Electronics, again, the consumer side of the market is doing very well. Memory demand is high and our position with the key players that are enjoying some of the growth from mobility from the cell phone markets and other faster growing markets have been very positive to us. And we have been approving a lot of new technologies for the next generation nodes, so those ramp rates have helped us. If you look at Performance Materials, again, it has been broad-based. Again, this is not the peak season for us. The peak season is the next two quarters for us based on weather and seasonality, but we saw robust volumes around the world, including in Europe and some of the segments that we have been focusing on given our differentiation. We haven't disclosed the breakdown on what is driving the margins, but I can tell you everything is contributing; there is no one big hit. As I indicated at the conference call in New York, we have taken actions specifically in the last year, targeted business to drive improvement and that has given us a strong foundation. On that now, we are writing good volumes, good plant loadings, a lot of productivity initiatives at our plants to get higher capacities and yields throughout our networks. The new products that we are launching are impacting our mix, positive mix effect, so all those things are contributing to our results.
Operator: Our next question comes from PJ Juvekar with Citi.
PJ Juvekar: A couple of questions. Seifi, when you took over, you started announcing local currency price increases, but with lower energy and distribution costs, I would imagine that getting pricing is difficult, so can you just talk about the pricing dynamics that you are seeing in the marketplace?
Seifi Ghasemi: I will give you a general answer and I would like to turn it over to Corning to elaborate. But, overall, we are still getting price increases in some of the markets that we operate in because of supply/demand and I would like to have Corning elaborate on that.
Corning Painter: So first, just to be clear, anything that is let's say related to our onsite business or our HyCo business, where there's energy in that, you see that all in pass-through. So when we report our pricing, you are really looking at our liquid products that we deliver to a customer and you are seeing that the average price has gone up and down and a little bit, so what is the trade-off of mix, it means customers with higher prices or lower prices. So that's what you see in it. And if you think of what we referred to in North America, you are seeing there the net impact we've been able to achieve in a pure price where we simply move the price up, offset by places where, in those liquid contracts, there's a formula that takes the price down or a surcharge comes down in cases where power costs come down or diesel costs come down and that is fair. And in terms of let's say net contribution margin to us, that really holds us neutral because those costs are coming down for us at the same time.
PJ Juvekar: And my second question is on your maintenance CapEx which was down by 50% which seems like a big cut, was there something in the old CapEx number that shouldn't have been there and if you continue to produce this kind of free cash flow, when does stock buyback come in the picture? Thank you.
Seifi Ghasemi: PJ, number one, with respect to maintenance costs, that obviously changes quarter by quarter based on the scheduled maintenance and all of that, but, in general, I would like to make a comment that the company was spending -- talk about maintenance costs, it includes the cost of trucks, new trucks, customer stations and all of that. We are running the company on the basis of making sure that all of our plants operate reliably, but we were kind of I wouldn't say as tight as we should be on maintenance costs and we are very focused on that. But I do expect that different quarters that number will go up and down. Overall, for the company, we have said that maintenance CapEx is something like $250 million to $300 million and that is the way we expect it to be. With respect to the free cash, we've always said that if we have free cash, first of all, let's focus on having the cash and once we have the cash then the best thing that we can do to create value for our shareholders is to invest that in organic growth, new projects which are at a higher return than our cost of capital. So that is our number one priority and fortunately, we are seeing plenty of opportunities to do that whether it is on the large projects, on our HyCo projects and all of that and you have seen some examples of that already. Now if you go beyond that, you can always increase the company's dividend and all of that before you get to buying shares. Okay, PJ?
Operator: Our next question comes from Bob Koort with Goldman Sachs.
Ryan Berney: This is Ryan Berney on for Bob. Just had a question on the energy pass-through, is the level of sensitivity that we saw this quarter versus natural gas and power costs coming down in the Gases Americas segment? Is that pretty indicative of kind of what it would be in the future if those prices were to come back up?
Corning Painter: Yes, there's nothing particularly unique on the way we did the calculation and if things reverse, you just expect a reversal of what you saw in the P&L here.
Ryan Berney: And then because it's kind of a fixed cost structure -- did you get some margin help this quarter and if so, how much versus kind of the sales line coming down?
Seifi Ghasemi: Are you referring to our HyCo business or are you referring on our business in general?
Ryan Berney: On the Gases Americas in general.
Corning Painter: So a lot of moving pieces if you look at the Gases Americas as a whole, so there is currency because we've got South America, we've got Canada, we've got the natural gas, we have the incentive, we have seasonality in Chile and all of that. And if you wash all of that out and you think about norming for volumes, I think we are in a similar range to where we have been.
Seifi Ghasemi: Okay?
Operator: Next we will hear from Jeff Zekauskas with JPMorgan.
Jeff Zekauskas: Can you explain the change in the interest expense from the first to the second quarter? Did your cash interest change or is it a different accounting treatment? Why did you go down so much with your net cash balances or net debt balances not changing very much?
Seifi Ghasemi: Very good. Can I have your other questions and then we can answer them. Interest expense is one. The next one?
Jeff Zekauskas: The second one is your cash flow from operations in the first half is down $60 million, notwithstanding the earnings growth. Is that because you are putting a lot more in your pension? I don't know what you contributed in your pension in the first half of last year, the first half of this year, but why isn't the operating cash flow stronger all things being equal?
Seifi Ghasemi: Okay. Anything else?
Jeff Zekauskas: That's it.
Seifi Ghasemi: Okay, very good. I would like to obviously turn this over to Scott to go through the details for you.
Scott Crocco: So in terms of the interest, I would say the biggest driver of interest change is really driven by currency as the main item. And then in terms of free cash flow and I want to just reiterate an important point here. I mean obviously we are looking at the all-in simple free cash flow metric. We looked at a variety of other things as well, but I think the simplicity of our free cash flow metric is very key around EBITDA and then interest expense, cash taxes, maintenance and so forth. There are some other things in terms of cash flow from operations that obviously myself and my team are looking at very closely. Things that we have that go through there for example are severance payments. As we reduce the size of the organization, we get it right-sized. We are going to have severance payments that we don't have in our simple free cash flow metric, but it obviously is something that we are managing. We are obviously managing also working capital and we've had a use of cash from a working capital perspective and we are managing that as well and trying to make improvements there. And so there are some other things too in terms of timing of payments from equity affiliates, earnings versus dividends received and so the key point here is when we look at the free cash flow metric here for this -- the simple free cash flow metric for this quarter, we've turned positive. There's other things that are beyond that, that again the people that need to be managing this are very clearly managing it and it has been a use of cash, but we are focused on improving our working capital. Obviously, we are going to have to make the payments associated with severance, but we are looking to drive improvements in all regards.
Seifi Ghasemi: But, obviously, Jeff, as you realize, those are kind of one-time items that doesn't indicate our kind of operating rate on a steady-state basis, that's why we separate them.
Jeff Zekauskas: What was the pension change in the first half year-over-year in the funding?
Seifi Ghasemi: Scott has that number.
Scott Crocco: Overall contributions, so, again, you've got contributions and then there is the expense which is non-cash, it's on the order of a net favorable, about $30 million or so inside of that and then again inside is also -- there is the severance. The big item that we are seeing here in the second quarter associated with the cash flow that is not in the simple free cash flow metric is severance payments that we've incurred, of course, as well.
Seifi Ghasemi: The severance payment is obviously significant, Jeff, considering what we have [indiscernible].
Jeff Zekauskas: What was it?
Scott Crocco: Our severance payments here for this quarter? About $55 million or something like that.
Operator: Moving on we will hear from Don Carson with Susquehanna Financial.
Don Carson: Seifi, I think you got a 440 basis points EBITDA margin improvement over the last year. You have cut the gap with Praxair in half from 7% to 3.6%. How much of this is your $600 million cost-cutting program and within that cost-cutting program, have you made any progress yet on the operational efficiencies or is it still all SG&A and functional support costs? And then a related question would be, on your volume growth, as you load up plants in the U.S., what kind of incremental margin should we expect?
Seifi Ghasemi: Okay. First of all, Don, as you say, we are 17% EPS, up versus last year despite the currency, the margin improvement of 440 basis points. All of that is related to the cost actions that we have taken. And most of that is on the first $300 million of so-called overhead cost reduction that we've been talking to you about. We have made progress on the other $300 million, but that is still not significant enough to show in our bottom line. It will, starting at the end of this year and in 2016. So then with respect to volume growth, I would like to have Corning comment on that.
Corning Painter: So I think volume growth right now in this current economic environment we are in, looking around the world is not something we want to be counting on going forward. I think if you think about the restructuring we are doing, if we were in very high let's say economic growth, you could maybe be concerned on how you are going to keep up with it. I think if you think about the economic environment we are in really globally today, the cost actions we are taking are perfectly timed for the environment we are in.
Seifi Ghasemi: Yes, but in terms of specifically the question you had about what kind of a margin, with the volume growth, we will expect more than 50% leverage dropping more than 50% to the bottom line.
Don Carson: Corning, did your volumes grow in the U.S. and what are operating rates in your U.S. merchant system?
Corning Painter: So operating growth that we reported for the U.S. was 1% and I would say operating rates are in the high 70%s.
Operator: Our next question comes from Nils Wallin with CLSA.
Nils Wallin: More of a bigger-picture question here. With your backlog of primarily focused on on-site and yet clearly one of your big strategic goals is to increase density, are you going to need to spend some more CapEx to improve the density side of the portfolio or how can you increase density while still keeping your CapEx relatively disciplined?
Seifi Ghasemi: Well, I think, first of all, you saw one example that Corning mentioned. Big River Steel is a very good example, that it would help us build density in one part. But the other thing is that please keep in mind that most of our backlog, the capital for that backlog has been mainly spent. So as we go forward, we don't need to spend $1.7 billion to support that backlog; that is already done. Therefore, we would have plenty of cash in order to still maintain a reasonable CapEx level of expenditure, but we have plenty of cash to support our activities to increase density in different parts of the world on smaller projects which is what we are going to do. I'd like to have Corning add to that, please.
Corning Painter: I think there's a path as well with your current assets to improve your density which is simply customers who are further away. We can think about what our cost to serve them is and what the right price should be and we can think about what that is for our opportunities who are closer to us. These are things that don't change overnight, but with month after month of diligence this is something we can improve.
Nils Wallin: And then just a different question, there is some degree of change in the gasoline pool going from tier 2 to tier 3 in terms of sulfur. How much of an opportunity would you see that in for your hydrogen business?
Seifi Ghasemi: It is very difficult to quantify that right now, but obviously that would be a positive. For us to quantify that at this stage would be a challenge, but until we know more about the details, but it certainly is in the right direction.
Operator: Next we will hear from Kevin McCarthy with Bank of America Merrill Lynch.
Kevin McCarthy: With regard to atmospheric gases in the Americas, I think in your prepared remarks you'd commented that volumes were not what you expected in March and was wondering if you could elaborate on what you saw in terms of the monthly cadence and what you are seeing so far in April there?
Seifi Ghasemi: I would just like to make a general comment and I'll turn it over to Corning to elaborate on that. But fundamentally we did see a softening of the economic activity in March. I think everybody is seeing that and that seems to be continuing in April. But, Corning, you want to elaborate on that?
Corning Painter: Just to quantify it a little bit. So let's say underlying oxygen, nitrogen, argon liquid volumes we would say were up in the low to mid-single digits for the quarter as a whole and just to say the volumes in March and a little bit the March volumes in April, they are not quite as strong as one would have hoped.
Kevin McCarthy: Okay. And then a second question, if I may, on incentive comp. Why did the accrual increase when the earnings outlook did not? And I guess more importantly, how much might have been brought forward into the fiscal second quarter to true-up the accrual? It sounded like you had a fairly large drag there of $0.15 and I was hoping you might help us flesh that out?
Seifi Ghasemi: I will be more than happy to explain that. You see, the incentive system that we have for 95% of our people is based on constant currency. So in constant currency, we are increased -- our estimate -- if it was the same currency, it would be telling you that we expect another -- we would be saying that our estimate for the year is $7. Therefore, we are accruing based on constant currency as an incentive for the people. And since they are -- our people are delivering ahead of the plan in constant currency; therefore, we are required by accounting rules to accrue for that because they are going to get more than the 100% in terms of bonus. In the second quarter, when we saw that, we had to accrue for both quarters because we haven't accrued for that in the first quarter. That is why you see a big number of $0.15 which is really $45 million. So our performance at constant currency is way ahead of the plan. And as I said, 99% of our people -- I am obviously on an incentive basis on EPS because that's the right way, but if we have a plant manager somewhere where we are rewarding them, that has to be on constant currency because that's the only fair way of evaluating their performance. I hope that clears the situation.
Operator: Our next question will come from David Manthey with Robert W. Baird.
David Manthey: Just to follow up on that last point then, we should expect that the incentive compensation, all else being equal, should come down by $20 million to $25 million next quarter?
Seifi Ghasemi: Well, it depends on how our people are performing versus their plan, but obviously in the third quarter we wouldn't have a $45 million charge, sure. It would be a lot less than that.
David Manthey: Okay. And Corning made a comment, something about your liquid nitrogen, oxygen, argon being less than expected in March, I think. And the second point is you said that your hydrogen was up year-to-year on fewer shutdowns and two things. I'm wondering, first, could you address the comment on margin? Second, with the hydrogen, is there a catch-up that you can see at some point in the future when turnarounds accelerate?
Seifi Ghasemi: Well, first of all I would like to confirm what Corning said for the month of March. With respect to hydrogen, please note that we are seeing actually an increase in the demand for hydrogen because it seems that the lower oil prices -- people are driving more and the refineries are running harder than ever before. We do not expect a slowdown on hydrogen. We actually expect it to be pretty robust.
Operator: John Roberts with UBS has our next question.
John Roberts: Two questions here. I think Linde reported a pretty big drop in new orders for the equipment side of its business. You obviously scored a big order in the quarter in Saudi Arabia, but you mentioned some caution by customers for lower oil prices, so maybe you could elaborate a little bit more on what your bidding backlog looks like now? And then, secondly, I think this is the first quarter we have seen the pension settlement loss. Will that get to be a relatively large number or will that be just a small number occasionally?
Seifi Ghasemi: Very good. I'll answer the first question and the second question I will have Scott answer that. On the equipment side, as you know, we do not have a very big equipment business like some of our competitors. Obviously, the award of the Jazan project is a significant boost for our equipment business, but the rest of our equipment business is not that significant; therefore, we have not seen a significant drop and I don't expect anything material there, but the Jazan project is going to be obviously a significant boost for our equipment business.
Scott Crocco: And then if I could, I will pick up the second part of the question in terms of pension and settlement. We would expect to see a little bit more going forward. It wouldn't be huge; maybe it's $10 million per quarter or so. Again, the key point here is that we are focused on rightsizing the organization for going forward and we are going to -- we will point that out, we'll non-GAAP it and we will keep moving and focus on the underlying business performance, but I would say, John, it would be in that kind of a range for the next couple of quarters.
Operator: We will now hear from David Begleiter with Deutsche Bank.
Ram Sivalingam: Seifi, it's Ram Sivalingam sitting in for David. A quick question for your business heads. Corning, good margin trajectory in Q2. The outlier was industrial gases; EMEA, you said margins should lift as we get through the back part of the year. Can you give sort of any insight as to how the cadence of that is going to flow through? And then for Guillermo, stellar margins, obviously, but as you think about the run rate going forward, how are you thinking about that?
Corning Painter: Okay, so let's start off then with Europe. We have taken a large number of the actions we need to take in Europe. There's always a little bit more of a delay in Europe between the action and when it shows up in the P&L, but we would expect to see a step up in both quarters for it.
Guillermo Novo: From Materials Technologies, I think we are doing well and we see opportunities for further improvement across our different businesses. We have a broad portfolio, so it is six businesses, each one is with their own dynamics. So we are very optimistic that we can continue to drive improvement moving all levers.
Ram Sivalingam: Guillermo, you are referring to sequentially from Q2 into Q3, Q4?
Guillermo Novo: Yes, if you look at sequentially, the next two quarters tend to be the stronger quarters for us from a volume perspective. So those are going to be -- they tend to be the stronger quarters that make our year.
Operator: And our last question will come from Laurence Alexander with Jefferies.
Laurence Alexander: Just a quick one, you spoke a little bit about how Q4 outlook is implied as being a significant step up. It looks to be about a 720 annualized run rate. Over the last seven, eight years, Air Products consistently delivered annual results $0.10 to $0.20 above the prior Q4 run rate. So does that mean that your baseline for thinking about 2016 is really somewhere north of 740, 750? [Technical Difficulty] products should be more nimble. [Technical Difficulty] five, six years or are there some offsets for next year that we should be thinking about?
Seifi Ghasemi: It would be difficult for me at this stage to speculate about 2016. I'm sure you understand with all of the moving parts that there are in the world it would be difficult to do that, but the way you are doing the math, if nothing else changes that is one way of coming to some kind of numbers, but I cannot really comment on that.
Seifi Ghasemi: Okay. Well, I would just like to -- before we go away - say thanks again for your questions. Thank you for being on the call and we look forward to talking to you in the near future. Thank you very much.